Operator: Good morning. My name is Christie and I will be your conference operator today. At this time, I would like to welcome everyone to the Teradyne First Quarter 2013 Earnings Conference Call. [Operator Instructions] I will now turn today's conference over to Mr. Andrew Blanchard, the Vice President of Investor Relations.
Andrew J. Blanchard: Thank you, Christie. Good morning, everyone, and welcome to our discussion of Teradyne's most recent financial results. I'm joined this morning by our Chief Executive Officer, Mike Bradley; President, Mark Jagiela; and our Chief Financial Officer, Greg Beecher. Following our opening remarks, we'll provide details of our performance for the first quarter as well as our outlook for the second quarter of this year. First, I'd like to address several administrative issues. The press release containing our first quarter results was issued last evening. Copies are available at teradyne.com, where this call is also being simulcast. We're providing slides on the Investor page of the website that may be helpful to you on following the discussion. In addition, replays of this call will be available via the same page about 24 hours after the call ends. The replays will be a available, along with the slides, through May 11. The matters that we discuss today will include forward-looking statements that involve risk factors that could cause Teradyne's results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release, as well as our most recent SEC filings, for a complete description. Additionally, those forward-looking statements are made as of today, and we take no obligation to update them as a result of developments occurring after this call. During today's call, we'll make reference to non-GAAP financial measures. We posted additional information concerning these non-GAAP financial measures, including reconciliation to the most directly comparable GAAP financial measure where available on our website. To view them, go to the Investor page and click on the GAAP to non-GAAP Reconciliation link. Also, between now and our next conference call, Teradyne will be participating in investor conferences hosted by Bank of America, Cowen & Company and Crédit Suisse First Boston. Now let's get on with the rest of the agenda. First, our CEO, Mike Bradley, will review the state of the company and the industry for the first quarter and provide our outlook for the second quarter of 2013. Then our CFO, Greg Beecher, will provide more details on our quarterly performance, along with our guidance for the second quarter. We'll then answer your questions. You should note that we intend to end this call after 1 hour. Mike?
Michael A. Bradley: Good morning, everyone. Thanks for being with us again today. The overall message today has 2 parts. First, we're moving upward in the semiconductor test cycle, in line with what we expected coming into the year. And second, we're very much on track with the new market and new product initiatives that we outlined to you at this time, last quarter. You can see that our total bookings have taken a sharp step up, increasing nearly 50% over the prior quarter. This is the net change of very strong Wireless Test demand, solid improvement in SemiTest order rate and the usual lumpiness in our Systems Test bookings. Most notable is that we've had a better start to the year at LitePoint than we did last year at this time, with orders about 2.5x the level of Q1 last year and over 4x what we saw just 1 quarter ago. SemiTest is rebounding nicely, with over 40% sequential growth in orders as improved mobility demand has been coupled with strengthening patterns in microcontroller and automotive applications. SOC test is up 35%, while Memory Test saw a 130%-plus increase over the relatively low order rate we had in Q4. I'd also add that in SemiTest, our OSAT demand doubled in Q1, while IDMs and Fabless moved up only 10% sequentially. Systems Test is on a normal, albeit, choppy pattern with much lower defense spending in the quarter compared to the very high bookings picture we reported 3 months ago. So while the trend is positive on many fronts, it doesn't have the record trajectory that we saw a year ago, where SOC test bookings were so front-end-loaded in the year. All of which led to a full year that had 2/3 of its demands in the first half and where customer new product cycles drove our shipment peaks in the Q2, Q3 period. What is noteworthy about our start to this year is a very good hit rate on the strategic new markets we're entering and new products that we're bringing forth this year. On that front, we've made very good headway at the quarter poll. First of all, as I mentioned on our last call, we set a course for 2 new market offensive this year; one in Cellular Test at LitePoint, and one in the 3.5-inch hard disk drive space in our Storage Test unit. I'm pleased to report that we've received production orders in both new markets as of the end of March and are targeting volume ramps for each during the next 2 quarters. Now I can't go into specifics on these orders for obvious reasons, but I am pleased to say that our investments in these 2 important areas are beginning to bear fruit. In our core SOC test business, we're also launching 2 new platforms, successors to our J750 and Eagle Test mainframes. These products are mainstays in the consumer, digital and performance analog test markets. And combined, represent an installed base of nearly 7,000 units on our customers' test floors, 2 of the highest volume products in the industry. We now have orders in place for both of these systems and we'll ramp their production levels throughout this year. I'll note that the new J750 and ETS family members are fully compatible with their predecessors and incorporate important features that deliver higher performance instrumentation, extremely productive parallel test economics, plus test program and time-to-market efficiencies. Mark can elaborate on these if you have questions on these new platforms. As I said at the opening, full year projections are hard to make, given the nature of our markets, combined with our short lead time capabilities. But I will say that the year in SemiTest is unfolding as expected. The SOC market revenue ran at about a $2 billion annualized rate in Q1, and we expect it to move up to a $2.4 billion run rate in Q2. Now that's consistent with our projections for $2.2 billion to $2.4 billion year in 2013, so no changes to our views on that front. The same goes for Memory Test, that looks to be $400 million to $500 million in market size for the year. We're putting slightly more capacity in place for turns business in SemiTest this quarter, as we're seeing some demand materialize with very little notice. And of course, we'll be able to ratchet that in either direction, as we enter the second half of the year. Greg will talk a bit about how we're handling the capacity plan in LitePoint which, of course, has even shorter lead times. So the full story as we enter the second quarter is: SemiTest demand is growing as expected, new products are on schedule and most importantly, our new market entries in Cellular and Hard Disk Drive Test are seeing some early positive momentum. Let me turn it over now to Greg for some further comments.
Gregory R. Beecher: Thanks, Mike, and good morning, everyone. I'd like to first offer some additional perspective on the start to the year and our key annual goals, before I cover the first quarter highlights and second quarter guidance. While first quarter orders of $400 million are up 47%, as Mike noted, the overall mobility demand in SemiTest is starting more slowly than in recent years. This slower start is due to the later timing of some key smart device product launches, along with a natural eking out of greater tester productivity. In contrast to the SemiTest start, Wireless Test is off to a stronger start. This is due to the expansion into Cellular Test, a new market, and 802.11ac demand. So while the short-term demand picture is mixed, we've nonetheless been quite busy on, as I said, are very important annual goals that should strengthen our longer-term position. Moving away from the short-term biorhythms of demand, recall that we're closely aligned to the Mobility and Wireless Test markets. Healthy growth in these end markets is expected over the coming years, fueled by ongoing smart device growth, the growth of The Internet of Things and new end applications, along with new, more complex wireless standards. Now let me move to our key 2013 goals. Starting on the financial side. We, of course, plan to meet the financial model targets that we shared with you in October. These are shown in the earnings calls slide deck on our website. In line with the October plan for 2013, we'll continue to hold spending tight across the company, while we very selectively up our R&D to fuel the next leg of growth. Some of these growth initiatives will begin to contribute to our results later this year. As a quick reminder, we published a model that saw us with the normalized quarterly sales needed to hit a 15% operating profit. You can see that this quarterly revenue of $375 million is below our 2012 average quarterly revenue of $414 million, and of course, this historical revenue does not reflect the increased revenue we expect from our expansion into new markets this year. So as in the last 3 years, we're set up to deliver greater than 15% model profitability. Moving from the financial goals to market expansion plans. First and foremost is breaking into wireless cellular product test in a meaningful way. We estimate the cellular test production market to be between $700 million and $900 million a year, with solid growth from smart devices, the Internet of Things and other new applications, so it's a very important expansion. I should quickly remind you that the Cellular Test margins are expected to operate closer to the company average. Cellular Test is a system-level test, similar in many respects to our connectivity system level Wireless Test business. Cellular Test plans are about double those in connectivity, and new standards such as LTE are driving these test times up. Our cellular test strategy has been to break in initially as a second source, earn our stripes as a reliable supplier and then work more closely with leading customers in delivering innovative test solutions, much like what we've done in connectivity testing. As we noted in the release, LitePoint recorded very significant solid test orders in the first quarter. While customer confidentiality, of course, limits what we can say, this is a very important break in for us in a competitive market that bodes well for LitePoint's future. As to what this means to our early 2013 LitePoint sales range, it's simply too early to provide you with any finer detail. Another new market goal is to enter the 3.5-inch hard disk drive test market in the second half of this year. The test market for 3.5-inch drives is expected to benefit from the ongoing cloud buildout. Our new product test market is on schedule, and similar to how we entered the 2.5-inch testing market several years back, we have customer orders in hand. We expect to see first revenues in the second half of this year. Recall that at about $125 million in annual sales, we should hit our hard disk drive 15% model profit target. So stay tuned for further progress in HDD. And finally, our other key market goals are centered on getting 2 new SOC test products launched and on to customer test floors this year. These products will strengthen our position in analog and consumer digital market segments. Stay tuned for updates on this front as well. So collectively, we have a pretty full plate of activity that will expand our served market by about $1 billion this year, while staying within our existing operating model. This gives us a capacity to continue a steady rhythm of profitable growth in the future. By design, we remain tightly connected to mobility and wireless end markets. Today, mobility product launches from silicon tape-out, to products in the hands of consumers, are considerably shorter than in the past while the defect standards are becoming much tighter. These trends make tests more important than ever. In SemiTest, we're the leader in key mobility building blocks such as RF, power management, application processors, analog and microcontrollers. In Storage Test, we're the leader in mobile hard disk drive test for 2.5-inch and will enter the 3.5-inch cloud storage test market this year. At LitePoint, we're the leader in connectivity testing and have just now broken into cellular test in a meaningful way. Fortunately we can help our customers to determine how to best deploy their test powers, whether at the semiconductors, systems or wireless device level. Across that spectrum, we have hardware and software solutions geared around getting mobility products to market faster at higher quality levels with, of course, the lowest cost of test. So in short, we are well-positioned to ride the ongoing mobility and wireless test growth. Now moving to the key highlights of the first quarter. We had total company bookings of $400 million; SemiTest bookings were $259 million; SOC test orders were $231 million and Memory Test orders were $28 million in the first quarter. SemiTest service orders were $48 million; Systems Test group orders were $32 million with $13 million of service orders. Wireless Test orders were $109 million. In the first quarter, Semiconductor Test sales were 75% of the total, Systems Test Group, 13% and Wireless Test, 12%. Our book-to-bill ratio for the first quarter was 1.4 for the overall company; 1.2 for Semiconductor Test; 0.9 for Systems Test Group; and 3.3 for Wireless Test. At the end of the quarter, our backlog stood at $474 million, of which 80% has scheduled to ship and be recognized as revenue within the next 6 months. The top line of $280 million was up $32 million or 13% sequentially from the fourth quarter. SemiTest was $211 million, up $27 million or 15%, consistent test group was $35 million, down $5 million or 11%. Wireless Test was $34 million, up 37%. We had 1 SemiTest customer that was more than 10% of company revenue in the quarter, and our top 5 customers accounted for 29% of our first quarter sales. SemiTest product shipments increased 23% from a quarter ago. Inventory at $80 million; service revenue was $66 million, a $3 million decrease compared to the fourth quarter. SemiTest service revenue was $50 million; total company product turns business was 59% versus 40% a quarter ago. SemiTest product turns business was 60% versus 40% a quarter ago. And Memory revenue was $24 million, up $14 million from the quarter. Now moving on to P&L quickly. Non-GAAP gross margins increased to 55% from 54% in the fourth quarter due to higher volume. Non-GAAP operating expenses were $131 million compared to $122 million in the fourth quarter, as our variable compensation flexes up on higher sales and we had some increased R&D spending consistent with our model. At the operating line, we posted an 8% profit. Our non-GAAP net interest and other expense was $2 million. Tax expense for the quarter was $3 million and our full year tax rate is expected to be 12%. Cash from operations consumed $50 million after capital additions, mostly due to employee variable compensation payments tied to 2012 performance and normal working capital changes. We ended the quarter with gross cash of $956 million. DSO is 53 days, down slightly from 56 days in the fourth quarter. We expect cash and marketable securities to increase by about $60 million in the second quarter. As a quick reminder, we have $300 million offshore and subject to U.S. tax if repatriated. This will likely grow by about $100 million a year. We also have convertible debt with a face value of $190 million, which matures in March 2014. Hence, our available U.S. cash is closer to $450 million. As noted in the press release, sales for the second quarter is expected to be between $380 million and $420 million, and our non-GAAP EPS range is $0.26 to $0.36 on 212 million diluted shares. I should add that the non-GAAP EPS accounts for the dilution from the convertible debt net of the call overlay. Q2 guidance excludes the amortization of the acquired intangibles, the non-cash imputed interest on the convertible debt and includes taxes on a cash basis. Our GAAP EPS range is $0.12 to $0.20. The operating profit rate at the midpoint of our second quarter guidance is about 19%. Now moving to the P&L percentages in the second quarter. We expect non-GAAP gross margin to be 54%, R&. D should be 17% to 19%, and SG&A should be 17% to 19% as well. Non-GAAP net interest expense is expected to be about $2 million. So we're up to a very solid start in 2013 with a 47% increase in company orders, major design wins in wireless, and storage tests and improving environment in SemiTest in an operating model that is delivering on plan. While we cannot control the size of the market we serve or the trajectory of growth within them quarter-over-quarter, we're focused on implementing our goals to profitably grow the core business while very carefully evaluating new growth opportunities. Now I'll turn the call back to Andy.
Andrew J. Blanchard: Thanks, Greg. Christie, we'll now take some questions. And as a reminder, please limit yourself to one question and a follow-up.
Operator: [Operator Instructions] And your first question comes from the line of Vernon Essi with Needham & Company.
Vernon P. Essi - Needham & Company, LLC, Research Division: Wondering if I could go to one of my favorite topics, Greg, and that's the gross margin. You guided a little bit lower than where you came in, and then on a go-forward basis, obviously, sort of keeping it in line with were you just came in. Are we to assume most of that is due to just the new ramps on the HDD side or are you leaving a little bit of gross margin upside on the table here?
Gregory R. Beecher: The gross margin in the first quarter and the guidance is simply mix. The mix is more favorable than what our model would suggest on a normalized basis. We have very little HDD purchasing -- 0 HDD business in the first half, under $5 million. So that helps the percentage, purchase on the dollars, but helps the percentage. So with our gross margin, invariably, it can move around several points as simply based upon mix.
Vernon P. Essi - Needham & Company, LLC, Research Division: Okay. And then you mentioned briefly, and not to be that guy that brings up the memory question, but you talked about some activity in memory but it seems like you're keeping -- you're market sizing the same for the year. Can you just discuss sort of what you're seeing out there? We're obviously seeing press in Samsung's looking to other vendors to boost their DRAM needs. Any interesting new developments going on in that market from your perspective?
Mark E. Jagiela: This is Mark, I'll take that one. So the memory market certainly has picked up in the first quarter compared to the dismal levels of that in the fourth of quarter last year. But as we look out across the year, we still see probably a $400 million to $500 million tester market for memory. And the key driver for capacity as will be higher-speed NAND devices. It really obsoletes the installed base. So if there's any upside, it might be the rate which high-speed NAND devices come online that could propel a higher obsolescence. But in general, we're looking $400 million to $500 million.
Vernon P. Essi - Needham & Company, LLC, Research Division: Okay. So this is all on the flash side, not DRAM-driven from your perspective, of course.
Michael A. Bradley: Yes. I think DRAM, our view will be about flat with last year.
Operator: Your next question comes from the line of Satya Kumar of Crédit Suisse.
Satya Kumar - Crédit Suisse AG, Research Division: First of all, I was wondering if you could comment a bit about the composition of LitePoint orders in Q1, between cellular and connectivity? And give some thoughts on any additional cellular customer events that you may have later this year?
Mark E. Jagiela: Yes, this is Mark again. The good news in Q1 with LitePoint was that both on a connectivity side, we saw orders that were strong, in fact, stronger than they were a quarter -- the same quarter of last year. And then on top of that, the break in for Cellular was significant and it was significant to the tune of multiple thousands of units of production capacity. And we absolutely, having just tapped into this $700 million to $900 million market, have other designings in flight for the rest of the year. I'm not going to be specific around any customers, but this is a great validation on the product and we're going to keep pushing forward, as we move forward...
Satya Kumar - Crédit Suisse AG, Research Division: And then a follow-up on LitePoint as well. You guys have done a terrific job in terms of capturing the market share on the connectivity side and it comes through that on the cellular as well. But your competitors are also trying to respond with their one box testers and what have you on the connectivity side. Can you give a high level overview of the competitive environment on the connectivity side? What do you see out there, what do you think that does to market size the connectivity, market share and your margins?
Gregory R. Beecher: Satya, this is Greg. As you may know, we've had a 1 box solution for some number of years. We tend to be the innovator in connectivity and we hope to do the same in wireless test for cellular. So I do think there are some new products from our competitors that were, I'd say, generations ahead, having implemented 1 box solution years ago, and are continuing to optimize and improve our solutions. So there are certainly folks chasing after our space. We think we'll maintain very good market shares we talked about in the past. So we feel good about our conductivity position.
Operator: Your next question comes from the line of Stephen Chin of UBS.
Mahavir Sanghavi - UBS Investment Bank, Research Division: This is Mahavir Sanghavi for Stephen Chin. Greg, 1 question about the capacity expansion that you talked about, could you give us some color on what kind of annual or quarterly sales run rate you can now achieve if you added capacity? And then maybe, you can talk -- can you talk about the percentage of capacity that's being added for SemiTest versus LitePoint?
Gregory R. Beecher: Maybe Mark will take the SemiTest and maybe I'll try to take the LitePoint. But you said the percentage of capacity...
Mahavir Sanghavi - UBS Investment Bank, Research Division: New capacity. What percent of the new capacities for the LitePoint versus SemiTest.
Gregory R. Beecher: Let me do LitePoint first. The demand in the first quarter for LitePoint, for us, the growth over a year ago is 2 pieces. One is cellular, which is a market expansion for us. That's all new expansion. The other growth is 802.11ac. That's why we're up conservatively from a year ago same quarter. If those 2 things weren't there, we'll probably be about flat with the demand on the first quarter. So again, it's technological obsolescence with 802.11ac, drives new tester buys and cellular test is a new market. And I think we're early in some of the technology trends in the Wireless Test business, whether it's LTE, 802.11ac, I think we're going to see more and more testers moving to 802.11ac this year for sure. Let me pause there and see if Mark wants to add.
Mark E. Jagiela: So just on SemiTest, the start to this year the market for SemiTest in the first quarter is roughly $500 million, which is a $2 billion market run rate. But we still believe at the end of the year, the market will be somewhere between $2.2 billion to $2.4 billion. And we've layered into our capacity plan the ability to surge 30% to 40% of our nominal plan to account for an unforeseen spike in demand. And we expect that to comp, we can't time it. That's why we model that into our capacity side. And that capacity is usually positioned 4 to 12 weeks, over a 4 to 12-week span in our future. So we don't try to call the term but whenever it comes, we can search about 30% to 40% north from where we are running at any given point in time.
Mahavir Sanghavi - UBS Investment Bank, Research Division: Great and just to follow up, quickly, Greg. So would that be the same kind of number that you would shoot for on the LitePoint side as well?
Gregory R. Beecher: Yes. That would be similar. It can, in fact, even be a little bit higher sometimes because LitePoint has more turns business but it's still in that neighborhood.
Mahavir Sanghavi - UBS Investment Bank, Research Division: Understood. And then one quick question on LitePoint, if you could talk about without exposing of course, any confidential information about the breadth of customers, how many customers did you -- in terms of design wins, how many new customers did you have in the Cellular side and did you have any design wins on the connectivity side?
Michael A. Bradley: This is Mike. Let me maybe put this in a context of going forward. Obviously, this business has some large customers and then a large number of smaller customers. It's not possible for us to get into customer by customer progress. So with regards to what happens in this past quarter, what we wanted to make sure that our investors knew was that we had a production break-in on the cellular side. Going forward, we will likely talk about this as a total market because there is now a foothold for us in both of the markets, and we'll tend to describe what our position is and where our share is moving in that total market rather than breaking it down between connectivity and cellular test.
Operator: Your next question comes from the line of Jim Covello of Goldman Sachs.
James Covello - Goldman Sachs Group Inc., Research Division: A couple of questions. First, this is going to be a tough one but if you could project out, to say, 2014, sometime firm (ph) in the future, so it's not really official guidance, what do you think a likely split in LTE test is going to be between connectivity and device test? Or what do you think a reasonable or target goal would be for the split between the 2?
Mark E. Jagiela: Well, Jim, this is Mark. I'm not exactly sure what you're asking but on the LitePoint business, we see connectivity in the $200 million to $300 million range annually. And at the same time, we see cellular, $700 million to $900 million. So that is unlikely to shift dramatically.
James Covello - Goldman Sachs Group Inc., Research Division: And I guess, I was asking your piece of the respective pies.
Mark E. Jagiela: We've always had a strong north of 50% share in connectivity and I think we see that continuing in the future. And then on cellular, we just cracked that market so it's a little premature there to say what we think next year would look like but we've got to play out this year to see how far we can move forward and then we'll probably be in a better position to talk about it.
James Covello - Goldman Sachs Group Inc., Research Division: Okay, that's helpful. And then if I could just ask as a follow up, in terms of what DPS could potentially look like in a scenario where at some point you get back to the quarterly revenue levels that you saw at the best parts of last year, is the only difference in the EPS at those revenue level's going to be mixed? Or are there other things that would effect what you would be earning at a $575 million revenue level or something like that. Is it mix or are there other factors?
Gregory R. Beecher: Jim, this is Greg. I think you have to look at last year we had a model different than this year's model. This year's model, we need $370 million in the quarter to hit our 15%. Last year is $350 million. So we're spending about $12 million more in OpEx. Some of that goes to LitePoint, some of it goes to the core businesses. One change, year-to-year we published that model back in October, it's on our website as well. Apart from that I think it's probably mix. And I think the mix changes will be similar to what you've seen in the past.
Operator: Your next question comes from the line of Timothy Arcuri of Cowen and Company.
Timothy M. Arcuri - Cowen and Company, LLC, Research Division: I wanted to dive a little more into LitePoint. I know that you don't want to discuss what the exact order split was between cellular and connectivity. But you said that the connectivity orders were up year-over-year. So if that's the case, then you probably did like 45% or 50% and in connectivity because you did 42% last year. Which, if I take the remainder and assume that, that's cellular and then you said that, that represents multiple thousand units and I divide that, I get like an ASP sort of in the $30,000 a system range which is quite a bit lower. I always thought these systems will sell for like $50,000. So Is that math not the right way to think about it?
Gregory R. Beecher: This is Greg. Yes, that math is not accurate. I think the change from last year in bookings is 802.11ac, there's buying for that. 802.11ac was inconsequential last year on the connectivity side. We're seeing much more demand for that now and then there was cellular test. Those were the 2 pieces above last year's demand. But we don't want to get into the price of the product at this point.
Timothy M. Arcuri - Cowen and Company, LLC, Research Division: Okay. Well, can you give then, Greg, can you just provide the split then between cellular and connectivity in that bookings number?
Gregory R. Beecher: We don't want to do that at this time. We're fearful it could be competitive information. All we can say is it was a very meaningful break-in. We wouldn't be talking about it if it was not significant.
Timothy M. Arcuri - Cowen and Company, LLC, Research Division: Okay. And I guess second question, relative to your commentary about the SemiTest market size, the markets are moving up in Q2 about to where you see the overall market for the year, which would imply not a lot of growth in SemiTest during the back half of the year. I guess, that's a little surprising particularly for you given that there is some capacity buildout that I would have thought that has to be done in Taiwan -- there's a big consumer electronics company moving some production to Taiwan and I thought that your testers would benefit from that. So I guess, is that the market size but then your shares are going to go up during the back of the year? Is it the right way to think about it?
Michael A. Bradley: And I think it's just a little more rough than that. We're not folding in predictions. At this point, we're in the 40s in market share, we hope to keep growing that. The market's lagging last year at this time, so we notched it down. I think we talked a little bit about this last quarter. But I think there's a bit more roughness in our calculations than there is precision around what orders go down when.
Gregory R. Beecher: The only thing I'd add, this is Greg speaking. We'll be very careful, if anything it's directly tie-able to a customer we just can't comment on it. It's very sensitive information. So I think what you're referring to could be directly tied to a customer, so we just can't comment.
Operator: Your next question comes from the line of Mehdi Hosseini of SIG.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: I'm not going to bother you with the math on the call but I want to go back to commentary from January when you guys guided to LitePoint revenue of $260 million to $360 million for this year. And I doubt you've made -- can you please update us on this? And then I have a follow up.
Gregory R. Beecher: Mehdi, this is Greg. We did say in the prepared remarks that it's too early in the year to put any finer detail on that wide and rough range, $260 million to $360 million. So we have no update to that. As you'll see we're starting off quite stronger in the first quarter due to breaking of the desired test in 802.11ac. So it's a good start but there's so many questions as to what the second half of the year, how that will unfold.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: So qualitatively and assuming that you've got the cellular, would it be fair to assume that you're at least on a run rate hitting the high end of previous guidance?
Gregory R. Beecher: I wouldn't make that direct conclusion. $260 million to $360 million is the range. It's hard to say where it ends up. I think we're going to know a lot more at the end of the second quarter because a lot of buying that's going to take place is pretty much known by 3 months from now. But we're strategically, the big news is, we've broken to cellular in a meaningful way. What the numbers end up this year to us, frankly, is less important. The key is we're in a much bigger market, broke in. And if you go back not long ago, we acquired LitePoint. We had $160 million and $190 million as our targets. So the $160 million, we did $286 million. Against the $190 million target, we have a range now of $260 million to $360 million. So by any measure it's been a great, great start. Where it ends up this year, we truly don't know. There's a lot of uncertainty with the ecosystem at the moment, even though it's a very strong start.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: Got it. And just 1 follow-up on the SemiTest. If I were to look at the historical pattern, it seems like this year has started on a slower slope but it seems like it is more sustainable. Is it a fair way of assessing the current situation? And I'm focusing on bookings, not revenues.
Michael A. Bradley: So think that it's absolutely true that it's a slower start to the year. But I think the one factor in this particular year that's a bit unique is we believe a lot of the new mobility products, end products that drives capacity demand for testers tend to be more second half of the year than they were in the prior 2 years. And so we do think that, as we get further into the year, we will see a bump of demand related to that fact.
Operator: Your next question comes from the line of Krish Sankar of Bank of America Merrill Lynch.
Krish Sankar - BofA Merrill Lynch, Research Division: Greg or Mike, looks like you guys are doing a great job getting into cellular. And on the connectivity side, you're gaining traction with 802.11ac. Exiting this year, do you think LitePoint revenues would still be weighted towards connectivity? Or do you think there will be even split between connectivity and cellular?
Gregory R. Beecher: This is Greg. I mean, that's a good question. All we can say is our goal is to continue to break into cellular over time, and we've gotten in as a second source. And the challenge for us is to show the customers that we have innovative solutions. So that requires them to change how they do their tests somewhat to fully get the benefit of what we can deliver. So for successful in doing that, then I do believe we can get good growth in Cellular Test going forward. It also helps to have a meaningful break-in in Cellular Test because once this has occurred, there's many accounts around the world that now, we have much more credibility. It's a major reference break-in. So that also helps us in cellular. So I would expect over time our position in cellular should certainly grow more than connectivity. Because connectivity we're already north of 50% market share. So our eyes are set on obviously maintaining connectivity. And we did gain some share last year, by the way. But maintaining that strong engine, we know people are chasing us aggressively, and you're going to hear a lot about that, I'm sure. But we're on offense in cellular tests. So over time, we think cellular test should have higher growth certainly than connectivity, where they intercept, hard to tell.
Krish Sankar - BofA Merrill Lynch, Research Division: And then one other question is, where do you think your SOC mobile market share is today? And where do you think it ends up being exiting 2013?
Mark E. Jagiela: So just roughly, when we talk about mobile market share, we think about all the variety of silicon in a mobile device, so that's applications processors, it's power management, it's image sensors, it's memory, it's all of that. And roughly, our share now is about 45% of those devices. And exiting the year, we plan to increase that somewhere in the 2 to 4 points.
Krish Sankar - BofA Merrill Lynch, Research Division: And this is the SOC -- do you guys have an SOC application across the market share?
Mark E. Jagiela: Yes.
Krish Sankar - BofA Merrill Lynch, Research Division: Where is that today and where do you think it will be exiting this year?
Mark E. Jagiela: In terms of market share on those types of device?
Krish Sankar - BofA Merrill Lynch, Research Division: Yes, on the APU.
Mark E. Jagiela: On the applications processors, specifically, that's -- it's a swag but it's probably 45% to 50% in that range. It's probably closer to 50% on applications processors.
Operator: Your next question comes from the line of Tom Diffely of D.A. Davidson.
Thomas Diffely - D.A. Davidson & Co., Research Division: I have a question here on LitePoint. Initially, you've got a pretty nice margin increase from that business. It sounds like now you're saying that margins are in line with the corporate average. I'm curious, is it mix or competition? What's changed on the margin front?
Gregory R. Beecher: This is Greg. The comment I made in the prepared remarks is consistent with what we said in the past, is that the new market for us, Cellular Test, the margins are consistent with the company average. And we've also said in the past that connectivity, the margins are a little bit better than the company average. We don't see any change to those 2 statements. Both should continue.
Thomas Diffely - D.A. Davidson & Co., Research Division: Okay, okay. You said the combined LitePoint would be at average. It sounds like the blended dollar (ph) is slightly above corporate average now?
Gregory R. Beecher: Correct.
Thomas Diffely - D.A. Davidson & Co., Research Division: Okay. And then second question looking at the hard disk drive market, maybe a little bit more about how big the 3.5-inch market is compared to the 2.5-inch market that you currently play in?
Michael A. Bradley: Tom, they've shifted. They've been moving up and down. But the way we're modeling it as the total market for 2.5-inch and 3.5-inch looks to us to be $200 million to $300 million in total. And that's shifted. $100 million, $200 million to $200 million $100 million. Right now we view that the 3.5-inch with the cloud build out is going to be the stronger of those 2. So as you look at the mix -- and maybe it would be, 60-40 or 70-30 in the current year. And that's what's motivated us to move more aggressively on to the 3.5-inch side.
Thomas Diffely - D.A. Davidson & Co., Research Division: Okay. So more than doubles your market it sounds like.
Michael A. Bradley: Yes. For very rough math, we've said if you incorporate the last couple of years with the next couple of years, we said it about doubles the served market.
Operator: Your next question comes from the line of Vishal Shah of Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: Just wanted to clarify the comments you had made last quarter, you said the connectivity market could potentially be down this year. Are you guys still seeing that trend? I mean, given the first quarter performance? Do you think there's some upside to that scenario?
Gregory R. Beecher: This is Greg. I think I said that. The reason I said that was there was such a large tooling last year that what happens with any large tooling is customers optimize that tooling, over a period of time, particularly (ph) when things slowdown and some might even take out tests. So they have techniques to make the testing more productive, and that's why I made that comment. So I think there'll be lower capacity buys. I think the thing that is going to help connectivity which we saw some of it this quarter is 802.11ac, that demand, and that's technological obsolescence. They need a different tester to test 802.11ac. So again I think it's still too early. I still believe, well, that the statements are correct, that the existing testers will be -- greater productivity will be gained from them. But more of the buying is going to be 802.11ac, so it depends how fast people want that new tester for 802.11ac.
Vishal Shah - Deutsche Bank AG, Research Division: On the cellular test share gains, you mentioned that you already received orders for multiple thousand units of testers. My understanding was that the first year, your opportunity in share gains was in that 3,000 to 5,000 range. So are you seeing greater traction, at that 1 particular customer that you were previously expecting? And then as you think about some of the other customers, you've engaged with them for a couple of quarters now, what's the typical design cycle and when do you start seeing some more results from those other customers?
Gregory R. Beecher: This is Greg. It's a very long designing time, and the reason is this. We're breaking into a market that has some good cellular test providers already. And the reason that we're getting a shot at it is because we've done quite long connectivity with innovative test solutions. So that's helping us get a crack at this market. But it takes a long time to get the correlation done and to get the customers willing to take some level of risk. And typically, when you start and you get the yes, they're going to start with a low-running product. So it's a process that takes a long time and often, at the outset, you have to do the test just the way the other guy does it. You can't fully use your productivity. So I think it's going to take us 1 year to 2 before we really are able to let the horses run that we have. But the key news is we needed a couple of meaningful break-ins. We have those. And now there's much more activity at a whole set of other accounts.
Operator: Your next question comes from the line of David Duley of Steelhead Securities.
David Duley: Real quickly, could you talk about the different segments of the SOC product line and where you're seeing strength on the order rates that were up 42% in the current quarter?
Mark E. Jagiela: Sure. So we talked a little bit earlier about mobility. That's certainly a big part of the order increase in Q1. However, not as strong an increase as we saw a year ago in Q1. But the one area, in addition to that, that's running quite strong right now, and in fact, stronger than it's run for more than 1 year is microcontrollers. The microcontroller market is on the rebound and our J750 product line where we've just introduced our next-generation product there, serves that market. We have a very strong share and that's going to be -- it looks like, throughout the year, a strong market. That's being driven by a couple of things. The traditional microcontrollers segments like automotive are also hot. But there's a lot more wireless going into microcontrollers, whether that's Wi-Fi embedded, Zigbee or NFC, Near Field Communications. And that's also, these mobility applications as they move from high-end smartphones to more pedestrian consumer products is helping us on the microcontroller side.
David Duley: And I noticed you're going to introduce a couple of new products and it seemed like when you talked about the increase of your TAM of your new products, that the SOC products weren't going to increase the TAM. So these are more a protect-the-flag kind of introductions or maybe you can talk a little bit about that?
Mark E. Jagiela: Yes. The J750 HD and the ETS-800, both of those products serve markets where we have a pretty high market share, somewhere in the 60% to 70% range. So certainly, they're designed to give our current customer base the next level of performance, time-to-market advantage. But we've been moving market share in that space as well over the years, and we do see that the combination of some competitive inroads and customers that traditionally have used in-house equipment to test some of these parts are more and more moving to commercial equipment. And that's actually a place where we're picking up a lot of incremental business. And so, these 2 products play both -- play very well into those spaces.
David Duley: And do you have -- with these new products, do you have some sort of cost -- lowering of the cost metrics that you can share with us, obviously you're introducing a new product so that typically means the cost of ownership is going down. Can you give a gas of metrics about from one product to another, what the cost savings are?
Mark E. Jagiela: Yes. Typically the way the customer benefits from cost reductions in the new products is increased parallel tests. So from generation to generation, we typically enable doubling the parallelism from the prior generation product. That's true for both J750 HD and for the ETS-800. So now that whole 2x benefit doesn't necessarily mean it sells at the same ASP. So the productivity gains for the customer kind of, 1/2 of the gains go to the customer and 1/2 of it for the results and a higher price tester -- higher cost of tester.
Operator: Your next question comes from the line of Terence Whalen of Citi.
Terence R. Whalen - Citigroup Inc, Research Division: I wanted to come back to the subject of foundries and OSATs and wanted to get your perspective that as the market develops and changes, I wanted to get your perspective on how that will affect your business.
Mark E. Jagiela: Yes. I think the OSAT trend that we've seen emerge over the past decade really is going to continue to be relentless. And the good news for us in that space is we have a suite of products to offer those customers. The J750 that I just mentioned is a very strong pervasive product, over 4,000 of them deployed worldwide. And the OSATs utilize those not just for microcontrollers, but in the MDM OSAT world, a lot of it is just logic wafer test. It's very well-suited for that. And then as more of these complex -- a lot of the fabless companies that utilize OSATs are actually making some of the leading-edge silicone products in the world. And they're not only very complex devices, they're moving into these 2.5-D to 3D-IC implementations as well. So the OSATs need a test platform that's very versatile in its implementation, can concurrently test our device, it has embedded in it a PMIC, Power Management IC, an apps processor, an RF transceiver. All of these things are how we've been architecting our UltraFLEX product line for years now. So we're very encouraged by the trend. Because we think the flexibility and the time-to-market advantages in the UltraFLEX are very attractive feature for the OSATs.
Terence R. Whalen - Citigroup Inc, Research Division: Great. And then my follow-up question is actually related to that. Specifically, I wanted to understand that as potentially traditional front-end foundries begin to internalize back-end, I want to understand how dealing with these customers would be different than OSATs and how you see that developing and how that might affect perhaps pricing or margins, given that the front-end guys are more concentrated.
Mark E. Jagiela: So I think that's a trend that's been happening for some time. The difference is that the front-end and the foundries are much more technology-driven, in terms of utilizing testers not just for capacity but also as process control. And so they value performance, they value -- and maybe even more so, sometimes in the OSATs. And foundries have a stronger preference when it comes to selecting this capital, in that it has to both serve a capacity need and a technology need. And so I think, if anything, the trend toward foundries is a benefit in that the value proposition of validating process, ensuring known good die for these multi-die assemblies is a much more valuable thing for a foundry that's trying to encourage more customers to technologically outsource. So I think it's potentially a net positive compared to the concentration argument that says, "Boy, that's going to be a tough road to haul."
Operator: Your next question comes from the line of Patrick Ho of Stifel, Nicolaus.
Patrick J. Ho - Stifel, Nicolaus & Co., Inc., Research Division: Going back to the SemiTest side of things for a second, I think you've mentioned in the past that the customers, given the big ramp that they experienced last year, may have a little bit of excess capacity, especially heading into this year. How do you see, I guess, that situation? And whether, I guess, the pickup in demand that we're starting to see right now. Whether that gets absorbed and that will drive I guess the additional buys as the year progresses?
Michael A. Bradley: Patrick, it's Mike , the numbers on it are that the utilization, 3 months -- over the last 3 months has moved up on a mix of products from the mid-70s into the low 80s. So that absorption from last year, all of that installed base that's been put in place is moving up. I think if you segmented that and looked at our systems, you'd see that the UltraFLEX was the product with the highest utilization in that range. So it's moving in the direction we expect it to. But as Mark said earlier, it doesn't have the kind of surge that we had as the tooling took place in the first half of last year. And of course, the obvious question is, well, will it have a back end surge, and no one knows that at this point. But I think the short-term numbers are on capacity utilization, it indicate that it's steadily moving up.
Patrick J. Ho - Stifel, Nicolaus & Co., Inc., Research Division: And maybe, and this is I guess, a longer term and maybe looking out into 2014, as we start seeing the next generation of leading-edge devices, particularly at the 20-nanometer node, do you expect to quote new test advice for that? Or are the customers able to, I guess, reuse or utilize or upgrade their current capacity for that next generation node, what are your expectations there?
Mark E. Jagiela: Yes. A lot of the existing capacity, at least the capacity that's been put in place in the past couple of years will be directly applicable to 20-nanometer. Most of the buying will be incremental capacity driven, not obsolescence.
Andrew J. Blanchard: Operator, we have time to, perhaps, squeeze in just one more question, please?
Operator: Your final question comes from the line of Jagadish Iyer of Piper Jaffray.
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: So 2 questions, first on the, Mike, you talked about, about $1 billion in some expansion, just likely from the roll out of these new products in these new markets that you're targeting. So how should we be thinking about revenue grab that you might be able to have 12 months from now, as you roll out all these new products and seek these 2 markets?
Mark E. Jagiela: Jagadish, the $1 billion is a combination of the growth in the hard disk drive, which is a smaller piece, and the cellular test for LitePoint. And I think the guidance we can give you here has really been discussed already and that's been around our LitePoint expectations, which are up from originally $350 million over the first 2 years, $350 million in revenues, up into the $550 million to $650 million in total. So that's the best we can do at this point in terms of guidance, as we move out of this year I think we'll have a better picture of what the trajectory we expect, and that will be tied to how much penetration we can get into the cellular space. That will be the biggest piece of the equation. But at this point, it's hard to know that.
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: Greg, this is a question for you. When can we see some tangible actions from the use of cash now that you remain profitable through the cycle? Can you give us your latest thinking on that? Has anything changed from your prior view?
Gregory R. Beecher: Good question. Nothing has changed from what we talked about over numerous quarters. I did outline in my prepared remarks that, of our cash, there's $300 million-plus offshore that we can't get back without paying taxes, rather high taxes. And there's convertible debt of $190 million due early 2014. So our real available cash is $450 million. So it's not as much as you might otherwise think just looking at our balance sheet. But if you look at over a period of time, we bought back a lot of stock that we bought back between 2006 and 2008, $0.5 billion worth of stock at just over $13. More recently we bought back a smaller amount, being much more patient. So what with the stock buyback program in place, obviously, we're being very, very opportunistic. If you look at how we deploy capital, whether it's LitePoint, Eagle, Nextest, put those 3 deals together, I think you would give us -- most would give us good grades on how we deploy capital. So we're looking at other growth that could have an unfair advantage and carry then that we can grow a company faster. And if we cannot find a company that meets the very strict criteria that we have, then we're back at what do we do with capital allocation. But we don't feel that's a decision we need to make immediately, but it is on discussion with our board. Every quarter, we're talking about the topic. But I would for now, let's just say expect us to stay the course.
Andrew J. Blanchard: Okay. Everyone, thank you so much for joining us this quarter and we look forward to talking to you in the weeks and months ahead.
Michael A. Bradley: Thank you.
Operator: This concludes today's conference call. You may now disconnect.